Leigh Bannister: Good afternoon, and thank you for joining AEye's First Quarter 2024 Earnings Call. With me today are Matt Fisch, Chief Executive Officer; and Conor Tierney, Chief Financial Officer.
 Earlier today, we announced our financial results for the first quarter 2024. A copy of our press release can be found on our website at investors.aeye.ai. Before we begin, I would like to remind participants that today's discussion may include forward-looking statements as defined in the securities laws and regulations of the United States with reference to future events, future operating results or financial performance.
 Forward-looking statements are based on our current expectations and assumptions regarding our business, the industry and other conditions. These forward-looking statements are subject to inherent risks, uncertainties and changes in circumstances that are difficult or impossible to predict. Our actual results may differ materially from those contemplated by these forward-looking statements. We caution you, therefore, against placing undue reliance on any of these forward-looking statements. You can find more information about the risks, uncertainties and other factors in our reports filed from time to time with the Securities and Exchange Commission, including in our most recent periodic report.
 All information discussed today is as of May 14, 2024, and we do not intend and undertake no obligation to update any forward-looking statements, whether as a result of new information, future developments or otherwise, except as may be required by law.
 In addition, today's discussion will include references to certain non-GAAP financial measures. These non-GAAP measures are presented for supplemental information purposes only and should not be considered as a substitute for financial information presented in accordance with GAAP. A reconciliation of the measures to the most directly comparable GAAP measures is available in our press release and you should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures in our earnings release.
 Now let me pass the call over to Matt. 
Matthew Fisch: Thanks, Leigh, and thank you all for joining us for the AEye First Quarter 2024 Conference Call. We have made excellent progress across multiple fronts since our last update. On this quarter's call, I am pleased to announce that we achieved a key milestone with our 4Sight Flex platform, announced our new Tier 1 partner, LITEON, formed a 3-way partnership that gives us access to the China market, made remarkable progress in our cash reduction initiative and overall created significant additional company value.
 Our engagement with LITEON is off to a strong start, and they have completed their technology and supply chain audits. They have reported that they are pleased with our 4Sight technology, its performance in overall maturity. As we continue to work with them, our belief that they are the right partner for us is only reinforced. They have an innovative spirit, are obsessed with delivering the most cost-effective solutions and bring cutting-edge manufacturing capabilities that they are already delivering to automotive ADAS.
 Thanks to their decades of experience in the delivery of optical devices, our partnership with LITEON puts us on an immediate path to deliver unparalleled performance for an ADAS product at our price point. As mentioned in our last update, we are already working jointly with LITEON on multiple OEM opportunities. Similarly, our collaboration with NVIDIA has yielded significant advances in high-speed, long-range detection performance, and we believe we are ultimately on track for future integration with the NVIDIA Hyperion platform.
 We are also thrilled to announce a key strategic partnership that will bring AEye's LiDAR into the China automotive, trucking and rail safety markets. Working with Accellite Technologies, known as ATI and LighTekton technology, AEye's 4Sight LiDAR solution will be available to address the ultra-long-range detection needs in these key transportation areas. ATI is a global company and manufacturer of fiber optic, passive and active pluggable modules used in fiber optic networks for various high-tech markets.
 LighTekton is a research, development and manufacturing company that is developing LiDAR-based technologies for autonomy. ATI and LighTekton are ideal partners for this effort, and we are thrilled to collaborate with them to help solve transportation challenges with our 4Sight technology. Both companies see the clear value in AEye's LiDAR technology and ATI already has an established footprint in China.
 It is worth noting that because of AEye's software-defined architecture, we are able to work with ATI and LighTekton to enter these markets by simply reconfiguring our existing solution without requiring changes to the hardware. This partnership also reflects our consistent belief that the most logical path to the mainstream market for LiDAR will be built on partnerships with seasoned manufacturing organizations, especially in the automotive space.
 Shifting to the product itself, our next-generation product, Apollo that we announced late last year has now passed its first power on milestone and continues to exceed all our performance expectations. As you recall, Apollo was the inaugural member of our 4Sight Flex family and gives OEMs a compact, ultra-long-range LiDAR sensor that facilitates diverse mounting options, including unparalleled performance when mounted behind the windshield.
 Apollo demonstrates the power of 1550-nanometer LiDAR technology, and we expect to unveil the first samples of Apollo to automotive OEMs in the second quarter. Apollo came out in mere 4 months after we announced 4Sight Flex, which demonstrates the power of our software-defined LiDAR architecture. By focusing our efforts on software development, improvements happened very quickly, especially when you're backed by an incredibly capable and talented engineering and operations team.
 This team has been outstanding and driving hard to get Apollo into the hands of OEMs. We believe we have the most compact design in the ultra long-range performance category, which provides a compelling alternative to the bump on the roof design. Our behind the windshield LiDAR is getting very positive OEM reactions from a vehicle design perspective. We believe that our 1550 nanometer based technology is critical to delivering the required safety and performance that overcomes the additional challenge of penetrating the windshield.
 OEMs will need to include LiDAR in future vehicles and are looking for creative ways to seamlessly integrate the sensors into the vehicle design as opposed to designing around them. We are particularly encouraged by NHTSA's recent ruling mandating Automatic Emergency Braking, AEB as standard in all passenger cars, SUVs and light trucks by September of 2029. We believe that NHTSA's ruling ultimately favors the adoption of LiDAR across the passenger vehicle market. We are confident that our LiDAR meets NHTSA's toughest standards, including the 90 miles per hour forward collision warning requirement.
 Lastly, our capital-light model enables us to focus on the key fundamentals that advance our technology, attract partners and drive company value. We see some of our competitors are coming around to this realization that a capital-intensive manufacturing model isn't going to be viable for the foreseeable future. Winning in the automotive industry requires a stable and reliable supply chain. The approach we use with Apollo is a great example of this because of its high reuse of the existing supply chain.
 This, coupled with our software-defined approach enabled rapid advancements in the capabilities of the product. We've been able to accomplish a lot in the first quarter, all while staying on track and even outperforming our burn rate targets, which Conor will discuss in greater detail.
 With that, I'm pleased to turn the call over to Conor. 
Conor Tierney: Thanks, Matt. Welcome, everyone. I'm excited about our new strategic partnership with ATI, which will provide us with direct access to the Chinese automotive, rail and trucking markets. What's even more important is that we believe China accounts for a significant portion of the estimated $3 billion global LiDAR market as China is making large investments in bringing LiDAR technology into its transit systems and is moving much more aggressively than the Western market in LiDAR adoption.
 As Matt mentioned, we're making steady progress with LITEON and working jointly with them on multiple OEM opportunities. Further, a substantial reduction in estimated BOM costs will provide us with a pricing edge that will be a major competitive advantage once production scales. I'm also pleased to announce that we're actively pursuing multiple strategic investment opportunities. This speaks volumes about the progress AI has made on the execution side and shows that both investors and partners are bullish on the opportunities ahead of us.
 We are now proving that we can deliver on both our product development goals and execute commercially at a burn rate that's up to 10x lower than our peers. Thanks to our capital-light business model, we have more resilience to write out the industry headwinds.
 Now turning to our first quarter financial results. First and most importantly, I am pleased to report that we reduced our net cash burn by an additional $1.8 million to $7.6 million from the prior quarter's cash burn of $9.4 million despite paying out $2.4 million in onetime personnel-related costs during the first quarter of 2024. This is our fourth consecutive quarter of cash burn reductions. Given the focus on pivotal automotive milestones and the wind down of our industrial product line, we believe that comparisons of our first quarter 2024 and fourth quarter 2023 revenues are not helpful in evaluating our performance.
 First quarter GAAP operating expenses were $10.5 million, down 52% from the prior quarter, due primarily to cash restructuring charges related to the reduction in force and noncash impairment charges incurred in the fourth quarter of 2023. Non-GAAP operating expenses were $7.5 million, up sequentially from $6.5 million in the fourth quarter of 2023 due primarily to the timing of audit-related fees and onetime legal fees.
 We reported a first quarter GAAP net loss of $10.2 million or $1.61 per share versus a GAAP net loss of $27.8 million or $4.44 per share in the fourth quarter of 2023. The decrease in GAAP net loss was mainly due to the impairment of long-lived assets, inventory write-downs and associated reduction in force initiatives last quarter. On a non-GAAP basis, our net loss was $7.2 million or $1.13 per share in the first quarter compared to a non-GAAP net loss of $6.9 million or $1.10 per share in the fourth quarter of 2023 due to the G&A costs discussed earlier.
 Net cash used for operating activities decreased to $7.9 million in the first quarter from $9.2 million in the fourth quarter of 2023. We closed the first quarter with $28.9 million of cash, cash equivalents and marketable securities and no debt. As an additional source of liquidity, we have access to our equity line of credit facility and our shelf registration statement, which allows us to raise up to $200 million through September of 2026.
 Turning our attention to 2024 guidance. We're pleased to report that our diligent efforts in implementing various cost reduction initiatives continues to yield significant results. In the first quarter, we surpassed our cash guidance and remain on course to achieve our target cash burn of $25 million for the full year 2024. By the end of the year, this will represent a remarkable 75% reduction in our cash burn rate compared to the first quarter of 2023. Testament to our commitment to prudent financial management is the recent achievement of negotiating an annual reduction of $500,000 for certain professional services fees.
 This exemplifies our dedication to optimizing expenses while maintaining the integrity of our financial processes. Our overarching objective is to continue identifying and pursuing cost reduction opportunities, while ensuring that we sustain the core aspects of our business that drive company value. We are also bullish about the partnership revenue opportunities discussed earlier and expect to recognize revenues from these initiatives later this year.
 We see exciting times ahead for AEye. Our new 3-way partnership with ATI provides an opportunity to enter the China market with compelling LiDAR solutions. Our new LITEON partnership should enable us to slash BOM costs, putting us in prime position to attract additional OEM interest. Our ongoing commitment to financial stewardship, including further cuts to fixed operating costs, extends our cash runway deep into 2025. We are also actively pursuing bringing new investors to the cap table.
 We believe we are strategically positioned to seize the immense opportunity with our OEM partners, making us bullish about the future of AI.
 With that, I'll pass it back to Matt to wrap things up. 
Matthew Fisch: Before we open the floor for questions, I want to express how proud I am of the AEye team and the progress we made since the beginning of the year. Our resilience, focus and determination have propelled us forward gaining momentum and attracting new partners and investors along the way. The progress we've made and the accolades we received regarding our technology make us confident that we are on the right path. We believe that we have a LiDAR solution that is highly adaptable and that delivers unparalleled performance at its price point. We accomplished a lot in the last year, and interest in our product and company has picked up in the last 3 months, making us excited for what's ahead. We look forward to updating you as this momentum continues.
 Now I'd like to open the floor for questions. Operator? 
Operator: [Operator Instructions] And we have a question coming from the line of Kevin Garrigan with WestPark Capital. 
Kevin Garrigan: Congrats on the partnerships. So just first, you have the partnership with LITEON now. Are you still looking to expand partnerships with other Tier 1 suppliers? Or do you feel pretty comfortable with your partnership with LITEON? 
Matthew Fisch: Thanks, Kevin, and welcome back. And just to start the discussion on this topic. Remember, we came out of last year, thanks to a lot of hard work that got put in with a very mature product, and that work resulted in a certain level of maturity, which has allowed us to jump in with LITEON very quickly, and they're sharpening their pencils and really looking at ways to bring the product costs down and looking -- like to have some very strong ideas in that regard.
 However, as we said in the past, that our business model is designed to scale with multiple Tier 1s. And we're continuing to explore that pipeline. We are in active discussion on those and look forward to sharing more progress on that in the coming earnings calls. But I also would like to remind that today, we announced a very strategic partnership with ATI to get us into the China market. And you can see that the model is already starting to scale, and we expect to be having more discussions on that in the future. 
Kevin Garrigan: Got it. Got it. Okay. That makes sense. And then kind of going off to those partnerships. Can you just give kind of some more color on the trucking and railway system partnerships, Conor, I think you mentioned you should see some revenue generation potentially later this year from them. So is that you guys selling your LiDAR to these partners? Or is this for customers that these partners already have? 
Matthew Fisch: Okay. So the nature of this partnership is very similar. We're going to be very consistent on our business model, Kevin. So when we talk about, for example, trucking and rail in the China market, ATI accompanied by LighTekton, boots on the ground in China will be driving the detailed discussions, providing local support for those customers.
 So it's very similar to the type of business model we've used in the past, where we're aligning with partners that can do both manufacturing and also the sales channel element. It will be a very similar approach here with the work that we're doing with ATI. 
Conor Tierney: And Kevin, just to add some color there. That's obviously a market that currently exists today. That's why we're very bullish about the opportunity. And what I would say is we now have multiple kind of shots at goal from a revenue opportunities perspective. Obviously, there's room for opportunities with LITEON on the entry side. And then as Matt alluded to, we have plenty of opportunities in China. And then, of course, we're going to be opportunistic about selling through our inventory as well on the industrial side, too. 
Operator: I'm showing no further questions at this time. Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation, and you may now disconnect.